Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. My name is Huey, and I'll be your conference facilitator today. At this time, I'd like to welcome everyone to Cree Inc.'s Fiscal Year 2013 Second Quarter Financial Results Conference Call. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded today, Tuesday, January 22, 2013. I would now like to introduce Raiford Garrabrant, Director of Investor Relations of Cree Inc. Mr. Garrabrant, you may begin your conference.
Raiford Garrabrant: Thank you, Huey, and good afternoon. Welcome to Cree's Second Quarter Fiscal 2013 Earnings Conference Call. By now, you should have all received a copy of the press release. If you did not receive a copy, please call our office at (919) 287-7895, and we will be pleased to assist you. Today, Chuck Swoboda, our Chairman and CEO; and Mike McDevitt, our interim CFO, will report on our results for the second quarter for fiscal year 2013. Please note that we will be presenting both GAAP and non-GAAP financial results in our remarks during today's call, which are reconciled in our press release and financial metrics posted in the Investor Relations section of our website at www.cree.com under Quarterly Results in the Financial Information tab. Today's presentations include forward-looking statements about our business outlook, and we may make other forward-looking statements during the call. These may include comments concerning trends in revenue, gross margin and earnings, plans for new products and other forward-looking statements indicated by words like anticipate, expect, target and estimate. Such forward-looking statements are subject to numerous risks and uncertainties. Our press release today and the SEC filings noted in the release mention important factors that could cause actual results to differ materially. Also, we'd like to note that we'll be limiting our comments regarding Cree's second quarter and fiscal year 2013 to a discussion of the information included in our earnings release and the metrics posted on our website. We will not be able to answer any questions that would involve providing additional financial information about the quarter beyond the comments made in the prepared remarks. This call is being recorded on behalf of the company. The presentation and the recording of this call are copyrighted property of the company, and no other recording, reproduction or transcription is permitted unless authorized by the company in writing.  Consistent with our previous conference calls, we are requesting that only sell-side analysts ask questions during the Q&A session. Also, since we plan to complete the call in the allotted time of 1 hour, we ask that analysts limit themselves to one question and one follow-up. We recognize that other investors may have additional questions, and welcome you to contact us after the call by email or phone at (919) 287-7895. We're also webcasting our conference call, and a replay will be available on our website through February 5, 2013. Now I'd like to turn the call over to Chuck.
Charles M. Swoboda: Thank you, Raiford. Fiscal Q2 was another strong quarter as revenue increased 10% sequentially to a record $346 million, with non-GAAP net income of $37 million or $0.32 per diluted share.  Revenue and non-GAAP earnings per share were higher than our target range due to stronger sales in both LEDs and lighting and improved gross margins, which more than offset higher operating expenses. Our results continue to demonstrate the leverage we have in our fully integrated vertical lighting model, which has enabled continued product innovation across our product lines and strong financial results. The revenue trends in Q2 were as follows: lighting sales increased more than $14 million or 14% from Q1, as we saw a better than targeted growth for both our indoor and outdoor product lines; LED sales increased more than $13 million or 7% from Q1, which was on the high side of our target for the quarter; power and RF sales increased more than $2 million from Q1, which was slightly higher than our target for the quarter. Non-GAAP gross margin increased 170 basis points to 39.2% in Q2, which was on the high end of our target for the quarter. The overall improvement in margin was driven by factory cost reductions, increased mix of new products and higher factory utilization due to higher revenue. While the LED market remained very competitive, pricing declines were in line with our targets for the quarter. We continue to balance managing our inventory across our factories, while responding to short lead time expectations in both the LED and lighting markets. Inventory levels declined to 78 days on hand. Cash and investments increased to $886 million due to solid execution, focused capital spending and higher profitability. Free cash flow was $70 million in Q2 as we continue to convert R&D investments into innovative new products. Our balance sheet gives us the ability to continue to invest in growing our business and the market for LED lighting. Overall company backlog is slightly behind this point last quarter and in line with seasonal trends for Q3. We are currently forecasting some softness in LEDs due to the Chinese New Year holiday and in lighting due to the slowdown in outdoor lighting sales in cold-weather regions during our third quarter. Looking ahead, we target increased adoption to drive LED component and LED lighting revenue growth in the fourth quarter of fiscal 2013. We remain focused on using new product innovation to drive our growth through market share gains against traditional technologies and opening new applications for LED lighting. As we move into calendar 2013, we continue to work on new ways to drive adoption for LED lighting and build Cree's brand in the market. I'll now turn the call over to Mike McDevitt to review our second quarter financial results in more detail, as well as our targets for the third quarter of fiscal 2013.
Michael E. McDevitt: Thank you, Chuck. I will be providing a commentary on our financial statements on both a GAAP and non-GAAP basis, which is consistent with how management measures Cree's results internally. However, non-GAAP results are not in accordance with GAAP, and may not be comparable to non-GAAP information provided by other companies. Non-GAAP information should be considered a supplement to and not a substitute for financial statements prepared in accordance with GAAP. A reconciliation of the non-GAAP information to the corresponding GAAP measures for all quarters mentioned on this call is posted on our website along with historical summary of other key metrics. For the second quarter of fiscal 2013, revenue increased 10% sequentially to a record $346 million, which was greater than our targeted range of $320 million to $340 million. GAAP earnings increased sequentially to $20.4 million or $0.18 per diluted share for the second quarter of fiscal 2013, and non-GAAP earnings increased sequentially to $36.9 million or $0.32 per diluted share. Non-GAAP earnings excluded $16.5 million of expense net of tax or $0.14 per diluted share from the amortization of acquired intangibles and stock-based compensation.  GAAP and non-GAAP earnings per share exceeded the high end of our targeted range. Q2 GAAP gross margins increased 170 basis points sequentially to 38.5% and non-GAAP gross margin increased 170 basis points sequentially to 39.2%, which excludes $2.3 million of stock-based compensation. This was at the high end of our non-GAAP target of 38.5% plus or minus. The gross margin improvement was a result of factory cost reductions, improved production yields, product mix, lower cost of new products and higher factory utilization. Second quarter of fiscal 2013 revenue and gross profit for our reportable segments were in line or higher than our targets as follows: LED products revenue was $201 million, with gross profit of $84.2 million for a 41.9% gross margin; lighting products revenue was $122.7 million, with a gross profit of $41.4 million for a 33.7% gross margin; power and RF products revenue was $22.6 million, with a gross profit of $12.8 million for a 56.6% gross margin. In determining gross profit for our segments, we do not allocate certain employee benefit costs, stock-based compensation and acquisition-related costs. These non-allocated costs totaled $4.9 million for the second quarter of fiscal 2013 and are included to reconcile to our $133.5 million GAAP gross profit. We ended the quarter with $886 million in cash and investments, a $70 million increase sequentially, which resulted from higher profitability, good working capital management and focused capital spending. For the quarter, cash provided by operations was $92 million and capital expenditures were $22 million, including $4 million related to patents, which resulted in free cash flow of $70 million. Operating expenses for Q2 were $108.4 million on a GAAP basis and $88.4 million on a non-GAAP basis. Non-GAAP operating expenses were $2 million greater than targeted due to higher sales and marketing spending that supported the higher revenue. Non-GAAP operating expenses exclude approximately $12.3 million of stock-based compensation expense and $7.7 million of charges for amortization of acquired intangibles.  Net interest income and other for the quarter was $2.5 million. Our Q2 effective tax rate was 26% for the quarter, which is higher than the 22% we targeted due to overall higher profitability and a greater portion of our targeted fiscal 2013 earnings being in the higher tax jurisdictions. Days sales outstanding were 38 days as compared to 46 days at the end of September as accounts receivable decreased $18 million to $145 million. While inventory increased by $5 million to $185 million to support higher revenues, days on hand decreased to 78 days as compared to 81 days at the end of September. Both metrics benefited from stronger demand and more linear shipments and production across the quarter. Property, plant and equipment additions were $18 million for the second quarter. For fiscal 2013, we are continuing to actively manage our capital spending. In the near term, we target similar levels of investment as Q2 to support our strategic priorities to lead the market, drive adoption of LED lighting, accelerate cost reductions and support incremental capacity as needed. At this time, we target Q3 revenue to be in a range of $325 million to $345 million, driven by seasonal trends in our LED and lighting segments. We target Q3 GAAP gross margins to be similar to Q2, and non-GAAP gross margins to improve to 39.5% plus or minus. This target is based on a number of factors that could vary, including overall demand, product mix, cost reduction programs, factory execution and the competitive environment.  Our GAAP gross margin targets include stock-based compensation expense of approximately $2.4 million, while our non-GAAP targets do not. We are targeting Q3 non-GAAP operating expenses to remain similar to Q2 as the Q2 14th-week spending will be reinvested to support increased marketing for new product introductions. Our GAAP operating expense target is targeted to be similar to Q2 and includes noncash stock-based compensation expense of approximately $11.6 million and charges for amortization of acquired intangibles in the amount of $7.7 million. Loss on disposal of assets is targeted to be similar to Q2. Net interest income and other is targeted to be approximately $2 million for Q3. We currently target our tax rate to be 17% for Q3 and 22% for the full fiscal 2013 year. The Q3 and fiscal 2013 tax rate includes accumulative benefit related to the retroactive extension of the U.S. research and development credit. This credit was extended with the enactment of the American Taxpayer Relief Act of 2012 on January 2, 2013. Since this occurred after the close of our second quarter, a $1.9 million expected benefit for the period of January 1, 2012 through March 31, 2013 will be accounted for in our third quarter. GAAP net income for Q3 is targeted to be between $17 million to $23 million. Based on an estimated 116.7 million diluted shares outstanding, our GAAP EPS target is between $0.15 to $0.20 per diluted share. Non-GAAP net income is targeted to be between $35 million to $41 million or $0.30 to $0.35 per diluted share. Our non-GAAP EPS targets excludes amortization of acquired intangibles and noncash stock-based compensation in the amount of $0.15 per share. Thank you, and I will now turn the discussion back to Chuck.
Charles M. Swoboda: Thanks, Mike. We remain focused on 4 priorities for fiscal 2013. Our first priority is to accelerate adoption of LED lighting and increase sales of our indoor and outdoor lighting products. The lighting product line grew 14% sequentially in Q2 due to strong sales for both indoor and outdoor products. This sales growth is coming from a combination of new products and overall momentum in our sales channels. The new product momentum continues as we recently announced our revolutionary LM16 LED replacement lamp, which is designed to obsolete energy-wasting halogen MR16 lamps. The product uses a single LED source to deliver precise optical control, glare-free lighting and lower energy costs. We released the next generation LR6-10L LED downlight with the industry's highest efficacy at 90 lumens per watt, which is 50% more efficient than CFL downlights and 30% more efficient than competing LED products. We also released a high output XSP streetlight, which is 35% brighter than the standard version and opens a range of new roadway applications for this product family.  We continue to work on new lighting systems to further reduce the initial cost of LED lighting and improve the payback. While our primary focus is on developing next-generation products for the markets we currently serve, we also continue to evaluate complementary new lighting applications that today are underserved by LED-based products. Our goal is to find new ways to drive broader LED adoption and build awareness for the Cree brand. As part of this effort, we plan to increase our marketing spending over the next few quarters to more aggressively promote our innovative new products. Our second priority is to drive growth in our LED component product line through innovation by leveraging the SC3 LED technology into a range of new products. We saw an increase in SC3 product sales in Q2, and based on the design activity, we target this product family to continue to increase as a percentage of LED sales over the next few quarters. These products were designed into the recently released Best Buy Insignia LED lightbulb, as well as into a range of customers' new lighting products. We achieved an LED industry milestone with the release of our 200 lumen per watt XLamp MK-R LED, which delivers record-breaking efficacy. We introduced the XLamp XM-L2 LEDs, which are the industry's brightest, highest-performing, single-dye LEDs delivering 186 lumens per watt. We also released 4 new CXA LED arrays, which are the highest efficacy lighting class LED arrays available. While there's a lag time for when we introduce these products to when they are available in our customers' products, these efficacy levels should enable a new generation of LED system designs that are not only lower cost, but set new standards for energy-efficient lighting. Our third priority is to leverage our technology lead in power and RF to open a new generation of applications for these products. We released our first all-silicon carbide high-frequency power module, which sets a new standard as the industry's first fully qualified all-silicon carbide module. The new high-frequency module, which is targeted at power converters and high-voltage transportation applications, is rated at 100 amp current handling and 1,200-volt blocking. This module allows higher efficiency, compact and lighter weight systems that could result in lower total system cost compared with conventional silicon-based technologies.  While the design cycle for these applications is typically 24 months or longer, this new module is a first step in bringing the full benefits of silicon carbide to industrial power applications. We are focused on expanding this product family over the next year to give us access to additional applications. In the near term, this business is operating in a similar range as the last couple of quarters, which is being driven by the current generation of power and RF designs. Our fourth priority is our ongoing effort to translate our product innovation into revenue and profit growth. Our new products are driving growth in sales for LED lighting, LED components and our power and RF product line. We made solid progress improving margins over the last few quarters despite a very competitive market environment. In LEDs, we have to continue to deal with excess capacity in the market, although the growth in lighting over the last year has started to improve the supply and demand dynamic. Our goal is to continue to leverage our new products to drive revenue growth and deliver incremental margin improvement through factory cost reductions, process improvements and lower-cost new product designs. We remain focused on closing the price gap with conventional technology to drive adoption of LED lighting, which creates the growth opportunity for our LED and lighting product line. As I explained earlier, Q3 total company backlog is slightly behind this point last quarter. The LED lighting sales forecast is trending flat to slightly lower in Q3 due primarily to seasonal trends. The LED lighting product lines continue to operate with short lead times and the Chinese New Year holiday adds variability to our forecast for the quarter.  Based on the current backlog, forecasts and trends in the business, we're targeting Q3 revenue in a range of $325 million to $345 million, which is comprised of LED and lighting sales flat to slightly lower due to seasonality, and power in RF sales in a similar range. We target non-GAAP gross margins to incrementally improve in Q3 to a range of 39.5% plus or minus. This target builds on the momentum from the last several quarters as we continue to target incremental gains and factory efficiency and the benefit of higher new product sales to offset price decline. We target non-GAAP operating expenses in a similar range in Q3 despite one less week as we increased our investment in new product marketing and brand awareness. As a result, we target non-GAAP earnings in Q3 of $0.30 to $0.35 per diluted share.  Please note that our non-GAAP targets exclude amortization of intangibles, stock-based compensation expense and the related tax effects. We remain focused on driving adoption through innovation. Our new products have improved payback and fueled growth in LED lighting. Based on the trends over the last -- over the past few quarters, I think it is clear we're on the right track. Despite our success, we are not satisfied with the rate of LED lighting adoption. With our broad understanding of the technology levers from materials through systems, we see opportunities to move the market faster. LED lighting is not an incremental improvement for the lighting industry. It is a completely new way to deliver light. It is an LED lighting revolution, and we continue to be intensely focused on our long-term goal of 100% upgrade to LED lighting. We will now take analyst questions.
Operator: [Operator Instructions]  Our first question will come from line of Chris Blansett with JPMorgan.
Christopher Rand Blansett: Chuck, you mentioned a number of drivers that are helping to improve your gross margin. I wasn't sure if you could maybe rank those in order of impact that you saw in the fourth calendar quarter into Q1. And then potentially give some commentary on how the pricing environment is.
Charles M. Swoboda: Yes. So, Chris, I think the drivers, it's pretty hard to give you a ranking because they're all, I would say relatively speaking, equal contributors. So factory cost reductions continues to help us. That's a combination of lower spending and more efficiencies. We have the benefit of an increased mix of new products, and we did get some benefit from higher utilization with the higher revenues last quarter. They're probably some -- that's probably close to the right order, but I don't have the specific breakout for you. In terms of pricing environment, my guess is you're probably specifically talking about the LED business, and I'd say it remained competitive, pretty much in line with what we had targeted. I think it's better than it was a year ago, but at the same time, it's still very competitive because the fact is, is that there's more supply than demand on a broad basis, and so that's going to continue to make the market pretty competitive.
Christopher Rand Blansett: Okay. And then second question is tied to the transition for -- that you have within the MOCVD and LED side for 6 inch. How far along are you there and how much overhead of output does that give you before you really need to start spending a lot again?
Charles M. Swoboda: And so I'd say we made some incremental progress, it's still a relatively small percentage. I think I put it in the low double digits. Now, we are making progress each quarter. I think you'll see it go up here over the next couple of quarters as well as we just -- as the revenue -- we drive revenue growth and the idea would be to continue to increase that percentage over time. So I think in terms of what does it give us in terms of the ability to go further, I think it's a combination of things. It's not as simple as just 150. Obviously, as we start to see the increased utilization, while we still have upside in the factory, we are starting to see some of the first bottleneck, so we are seeing -- and you see it in our targets with our capital, that we are seeing some incremental capital just to work on mostly bottlenecks. And again, I'd say we still have upside, but it's a function more now of getting them balanced in the factory right with the specific mix that has varied from quarter-to-quarter.
Operator: Our next question will come from the line of Brian Lee with Goldman Sachs.
Brian K. Lee: I had 2. First on the revenue upside, can you provide a bit more color on what specific segments or end markets drove the upside, and then where you might be seeing better-than-expected traction in certain new products like troffer or any others?
Charles M. Swoboda: Yes, Brian, actually, if I look at -- the answer to both questions isn't going to be much more specific because it was pretty broad-based growth. So we saw solid gains in our -- both our indoor product families whether it be downlights or troffers, both saw solid gains. On the outdoor, we saw nice gains in the -- both the area lighting and in the street lighting. So I'd say both -- all of the segments were growing reasonably well, and if you think about markets, it's probably easier to almost think about -- if you think about those products, that's a pretty broad set of markets. And even if you look at it by channel, we saw solid growth pretty much across the different channels, whether it be some of the more large direct customers or the traditional agent and distribution channels. It was a fairly solid growth for the lighting product line across the business.
Brian K. Lee: Okay, that's helpful. And then just my follow-up on the margins, maybe switching to the operating side, OpEx is flat here on down volumes in March. So can we expect that as volumes pick back up seasonally in June, you could already be rightsized from an OpEx standpoint and it'd be flat again? I'm just trying to gauge the operating leverage potential in the near-term.
Charles M. Swoboda: Yes, so obviously, in the short term, we've decided that we want to spend a little bit more money to really -- we really want to get customers in the market to understand that you can do things with LED lighting today that frankly, the market doesn't realize is possible. I have examples of meeting customers for the first time and they're frankly surprised that what our current products can do and they really don't have a good sense for what's coming. So I think we want to make that investment now. As far as operating leverage, it's really all about we drive adoption and we drive the top line and I think we'll see some leverage. With that being said, I want to continue to invest at maybe a little bit more methodical level because I think that whether we're investing in R&D or we're investing in the sales and marketing side, that we see an opportunity to generate a pretty good return in terms of making the market bigger and making our business bigger.
Operator: Our next question will come from the line of Andrew Huang with Stern Agee.
Andrew Huang: So when I talk to some of your incumbent competitors in the lighting industry, I often hear that Cree will have a tough time getting mind share with lighting specifiers. So can you comment on how you're addressing that? And then I have a follow-up.
Charles M. Swoboda: Yes, Andrew, I think, look, I -- there's no doubt that the large traditional players have been in this business a long time and they basically have developed really good channels and relationships. Our approach is a little bit different. We're focusing on a relatively limited number of big applications, but pretty focused applications. And our idea is if you develop really innovative products that change the market dynamic and change the application, then I think that's how you get attention. And so we're going to keep innovating and showing people there's different ways to solve problems with LED lighting, and hopefully show them there's things LED lighting can do that they might not even realize is possible. And I think that will give us access to the specifiers and the people that will, in the end, buy the products.
Andrew Huang: And then can you give us an update on what you're seeing in China based on the government subsidies for lighting?
Charles M. Swoboda: Yes, Andrew, not a lot of change on subsidies recently. Obviously, they're going through the leadership transition there, but I'd say that no significant change one way or another. I remain cautiously optimistic that we will see continued adoption in China as we go throughout the next calendar year. But at this point, no specific new updates.
Operator: Our next question comes from Amir Rozwadowski with Barclays.
Amir Rozwadowski: Chuck, you mentioned some of the conversations that you're having with some of your customers are still surprised by sort of the opportunities provided by transitioning to LED lighting. I was wondering what type of update can you provide us in terms of the pace of those types of conversations? Are you still trying -- needing to provide additional education when it comes to the cost savings that LED lighting can provide? Are they a bit more educated when you approach some of them? An update there would be great.
Charles M. Swoboda: Yes, we are definitely making progress. If you just look at the last couple of years, we can see the growth in LED lighting and we can see the growth in the rate of adoption.Not only from an LED system standpoint, but as an LED supplier obviously, we can see that in the amount of lumens we're able to sell and just the number of new applications. So, look, it's moving. I guess, my point there is really that even in a customer that's interested in LED lighting or has heard of it or started to become more aware, I think they underestimate the real savings that are available today. There is still a perception in the majority of applications that LED's this new thing and it might be a way to save money, but that the overall reliable technology are still pretty cost effective. And I think as we shrink the gap between the -- the price gap between LED lighting and conventional technologies on one side and we increase the performance on the other, I think people are pleasantly surprised when they actually do the math and realize that we can save money today with the products we're making.
Amir Rozwadowski: And then if I may follow up, it looks like your power and RF gross margins have been fairly strong the last couple of quarters, particularly compared with a year ago. What's been driving this increase and is it something that we should think of as at a sustainable level at these levels?
Charles M. Swoboda: Well, at the end of the day, that comes down to some great execution by our team. And it's really the levers though in the end, are very similar to what we've seen in the LED side of the business. So we've made some great strides in terms of factory cost efficiencies, both in terms of reducing cost on one side, but really getting some efficiencies and really some great innovation from a process standpoint that made the production of lower cost. We have new products that have come onto the market, which same idea, we're able to deliver more value at a lower cost. So that increase in mix has helped us out. And then as those 2 have come together, the incremental growth and the volume over the last quarter or 2 has definitely helped on that side. So it's really a combination of those pieces coming together. I think the opportunity there is that we're still scratching the surface of the application. So we have a nice little business, but we think with some of the new products that are in development and where we can go, maybe not in the next couple of quarters but over the next couple of years, there are some larger, more mainstream applications that as the these next generation products come out and we can work with the end customers to think about system design to utilize them, that we can hopefully access some significantly larger markets, both on the power side, but also on the RF side. It could take a little longer, but there's no lack of great opportunities. In that case, it's just going to take a little while to fully determine what the -- what we can deliver there.
Operator: Our next question comes from line of Dale Pfau with Cantor Fitzgerald.
Dale Pfau: A couple of quick questions here. Number one, your LED component revenue popped up for the first time in a few quarters. Could you just talk about what led to that particular strength in the quarter? And then the second part of the question is regarding the guidance which the top end of your guidance is down just as a scoche. And that's considerably better than traditional seasonality. And even with limited visibility, that's considerably better than I would have expected. So could you talk about sort of the uppers to the upper end of that guidance that gives you the confidence to give the upper end of the guidance there?
Charles M. Swoboda: Yes. So, Dale, the LED component growth, I think, is really a combination of giving the new products time to get designed in and finally, gaining some momentum. We are working through this transition to the lower-cost platform. So, yes, the lumen growth has to be pretty solid to offset the fact that we're offering more lumens per dollar on the component side. So I think we just -- it was one of those quarters where the new projects and some of the adoption really started to move that forward. So I don't know -- it's pretty broad based. It's not one specific customer. I think it's just finally gaining some momentum from all the new product activities that we've had -- that we've been working through over the last year. As far as the guidance goes, if you think about it, so the -- our basic message is, is that LEDs and lighting are flat to down seasonally. And so if you think about the top end of the range, that's -- we're looking at relatively flat revenue from this quarter, which should say those businesses do better and offset whatever seasonality is in there. If you look at the middle, that's kind of got the middle of the seasonality range in it. And then obviously on the lower end, it says that, that affects a little more. And that's really coming from the visibility. So how is that possible to grow despite the seasonality? I think we're pretty encouraged by what we see in lighting so that while outdoor is typically going to have some seasonal slowness, we had a pretty solid growth quarter obviously in Q2. And so we would expect to see some of that momentum continue. So it's a little bit, without having great visibility, we're trying to estimate what the growth that we're seeing on indoor and some of the certain projects could do to offset that seasonality. So that's kind of the one side of it. And on LEDs, it's kind of the same thing. You saw some solid growth last quarter, and so it's a bit of a hedge. I don't know what's going to happen post Chinese New Year. So I think we'll wait and see how it comes out but that's how you can get to the high end of the range.
Dale Pfau: Okay. And one last question. You've done great things on the gross margin. Can you give us some thoughts about where you think gross margins could get back to over the course of the next 12 months?
Charles M. Swoboda: Yes, Dale, I'm going to stick to my story, which is our goal is to try to drive some incremental improvement across the businesses this quarter, and we're going to try to do it again next quarter. There's so much of a swing factor when it comes to what the new product mix is, how fast the uptake is on one side and then the market factors on the other side. Obviously, we've been fighting a pretty good headwind in LEDs here for about 18 to 24 months and at the same time, I think as we continue to drive adoption, we will drive -- see more and more market growth coming forward. So it's a little hard to call where that's going to go. I think what we can see in the near-term is we see some levers, at least the ones that we control, that should give us the opportunity to make some incremental progress and then we're going to have to adjust to whatever happens in the market around us. But no longer term targets other than we're going to try to make some more progress this quarter.
Operator: Our next question comes from line of Vishal Shah with Deutsche Bank.
Vishal Shah: Chuck, just wanted to understand what percentage of your revenues for both the LED products and lighting products came from new, sort of the new products that you've introduced recently.
Charles M. Swoboda: Yes, I don't have a specific breakout for you. I would imagine that depending on what you consider new products, if we look at stuff that was developed in the last year, my guess is, is that rough numbers, products introduced in the last year are probably 50% or more of the business right now.
Vishal Shah: Okay. And as you sort of think about the next couple of quarters, are we looking at that number increasing to 70, 75 or it's going to be more gradual?
Charles M. Swoboda: Well no. You have to remember it's a continuing flow, right? I don't know that, that percentage is that different than what it would have been if you asked me this question 18 or 24 months ago. The basic strategy is continue to innovate across the product lines, and so we're generally in the business of obsoleting our own products, try to do something that drives adoption and then drive the market further. So today, SC3 is a big part of the LED business. I would hope that we will be able to continue to develop new generation platforms and bring those to market and continue to drive that adoption on the LED side. And I think on the lighting front, in many of our products, we're on the second- or third-generation products today. And the goal would be is that how do we drive to the next generation pretty much across that product line. We see opportunities on both sides to continue to come out with not only performance enhancements but improvements to the cost per lumen. And so that's really where our focus is. And so if we're able to achieve our targets and really continue on the path we've been on over the last couple of years, I would think you'd see that remain a relatively high percentage.
Vishal Shah: One other question on the lighting business, your margins improved nicely at 30 -- almost 34%. What do you think about the longer-term target for that particular segment as you think about the competitive environment, and I think you had said in the past that your goal is to drive adoption, and you continue to spend on our OpEx. So is 34%, 35% sort of the longer-term target? Or do you think you can get back to the 40% levels that you've seen in the product side?
Charles M. Swoboda: I'm not putting on any long-term targets. What I'd tell you is on lighting and it's pretty similar than the other ones. We think there are levers available to continue to innovate to reduce the cost of those systems. Now at the same time, we're trying to reduce the cost partially because we want to continue to close the price gap with conventional technology. We're trying to drive adoption. So we're kind of balancing those 2, but I think there's opportunities to drive cost down, and I think there's opportunities to use -- as we shrink that gap to drive more adoption. We're going to try to balance of those 2, but in the end, the big goal in the short term or in the midterm is to drive adoption. And hopefully, we can do that while also achieving our other target, which is to make some incremental improvements. But we're going to keep pushing. And I think there's lots of technology to be developed, just it's a matter of how it comes together each quarter, and I'm sure there'll be a little bit of variability along the way. But I see opportunity to -- I really see continued opportunity, both -- not only in lighting but really across our businesses to drive more innovation to take cost out.
Operator: Next question comes from the line of Jed Dorsheimer with Canaccord.
Jonathan Dorsheimer: Just in the -- so one of my concerns was around the margins in the lighting systems as you ramped that business the past quarter. Can you give us any additional visibility into what the mix shift was? Was the 200-basis point improvement mostly a function of new products that we're getting into the market, or was it a shift between, say, for example, direct versus big box in terms of channel?
Charles M. Swoboda: So, Jed, what we saw is that obviously new products grew, but we also saw -- it was pretty much across product lines. So we definitely got a benefit from new products. We got a benefit from frankly higher volumes and some lower factory costs. As we're able to scale that up, we're getting some cost leverage there. And then think about it from a channel standpoint, we really saw a growth pretty much across most of the major channels. So I don't know that the channel -- where the products got sold changed it a lot. We saw pretty solid growth, both not only on the direct side, but on the agent side and on the distribution side. So to me, it's more about cost leverage from an execution standpoint and the new product benefit.
Jonathan Dorsheimer: And then your comment in terms of variability post Chinese New Year. Sorry, could you just elaborate on that? I mean, is it a question or concern in terms of whether or not China turns on post Chinese New Year or what is the concern there?
Charles M. Swoboda: Jed, it's really a concern of visibility. So as you're aware, we go into this -- we come into the quarter, you basically run the first part of the quarter and then essentially many of our China customers will shut down for a week plus. And so I think for us, it gives us limited visibility to what demand is. Look, we have short lead times, anyway. So it's more of -- until people come back and we can kind of see what the momentum is post Chinese New Year, it just adds variability and uncertainty. No different I would say than any other year when we go into the Chinese New Year. It's just it's a reminder that we have short lead times and our customers have a fairly long gap right in the middle of this quarter.
Operator: Our next question comes from Satya Kumar with Crédit Suisse.
Satya Kumar: Chuck, the December quarter last year was the first quarter I think we can make a clean comparison from the year ago period for the lighting business in terms of growth rates, and it seems like it was in the high 20s. And as I look at your March guidance, it seems like the implied revenue growth rate is actually accelerating to the high 30s. And it seems like from your comments on OpEx, you think that the growth could further increase and you're investing more in OpEx. How do you sort of think about the underlying system, lighting systems growth rate and how we should think about that over the next 12 months?
Charles M. Swoboda: Yes, I think -- I mean, I think if you think about it on a 12-month basis, what we're trying to do is turn on some pretty big applications. I think we have to be a little careful when we do the quarter-to-quarter numbers, because there is variation depending on which segment happened to grow and timing between segments, right? But if you look at it on a year-over-year, I would say that we think as -- we bring more new generation products out and we close the gap with traditional products, LED lighting adoption should certainly increase and then it's up to us to be able to -- make sure we get our fair share or better in that growth. And so, I don't have specific numbers for you, but clearly the value proposition for LED lighting versus conventional technology is a lot better today than it was a year ago. And if we keep innovating, it should continue to get better, and I think that will push us more and more into mainstream applications, which should definitely expand the market. Now, we have to then execute to make sure we get our piece, and that's where the investment comes from. We want to make sure we're prepared to position Cree -- our products and Cree as a supplier of LED lighting systems as one of the people out there that people should be thinking about first.
Satya Kumar: Yes, and I think you give plenty of color around this power and RF, but you seem pretty optimistic on these new products that you're coming up with that are addressing new applications. Is there a way for us to think about these elective size or magnitude of the market that you currently address with this $80 million give or take revenue that you have in the power and RF business? And what the time extension looks like with a factor of 2 or a factor of 10 in terms of these new markets that you're looking at in the power and RF business?
Charles M. Swoboda: Yes, so it kind of depends on how you want to define the market opportunity in power and RF. So if you think about it, our power devices basically compete anywhere you see 600 volt and higher discrete power devices today, which is a fairly large piece of the semiconductor business dominated by silicon-based technologies. Now as a practical matter, we compete in a fairly narrow segment of that because we're really on the ones that are looking for some performance advantage today because the premium on silicon carbide is relatively high. If you look at RF, same idea. Primarily military applications, but we do see some of the first commercial applications starting to take a look at gallium nitride on silicon carbide nodes. So I'd say we're a pretty small piece of a large potential market. And so what we see happening is, as we get to next-generation products, we should be able to access much larger chunks of that. What's the size? I mean, if you look at what the power market is, in the voltages we're talking about, it's a multibillion dollar market. If you look at the RF side, you're roughly looking at probably, maybe not quite $1 billion market for high-power RF. It's maybe $800 million to $1 billion in that range. So these are large potential market opportunities. But I would caution you the technology has very interesting capabilities. We think we can make it more and more relevant to these mainstream applications, but this is a big shift and there's a lot of work to show people how to use this technology to make their products better. And one of the keys is much like when we started in LED lighting, you're going to have to think about the system design differently to get the benefit. And so there's going to be a time lag to working through that. But definitely, some very large potential upside in terms of the market.
Operator: Our next question comes from the line of Joseph Osha with Bank of America Merrill Lynch.
Joseph Amil Osha: Chuck, you had said before that you weren't that interested in the retail downlight market because of some of the ASP mechanics there, but you do seem to be talking a little bit more about that as I listen today. Have your thoughts changed about what you want to do in the retail business?
Charles M. Swoboda: Yes, so when we first got into the retail downlight business, it was really an experiment where we had a way to make a downlight that Home Depot could sell for less than $50. And between the 2 of us, we said, let's try it and see what would happen. And I think it's obviously been a great experiment for both of us. Essentially, the category of a retrofit downlight doesn't even really exist until we tried the product out, and it let us put LED lighting in the hands of consumers in a way that most people would have said there was no consumer appetite for that. One of the things we've learned is that while -- the big market is commercial. There is -- it's interesting to let consumers work with the technology because frankly the feedback's faster and you can validate some of your assumptions. So I think it's been very helpful to us. We continue to work with the Home Depot to bring out products that are hopefully continuing to show them new types of performance/also testing the price points. So I think it's a great way to think about the market and probably more important than anything, raise awareness. The math's the math. The biggest market for LED lighting is going to be commercial industrial lighting. It's just, it's 80% of the market. But I think it's helping us get awareness for LED lighting in ways that probably wouldn't happen as fast if we just try to sell to the commercial market. So I guess if you hear me warming up to it a little bit, it's become a much better marketing vehicle for us than I would have thought in terms of raising awareness and getting people to think about adoption.
Joseph Amil Osha: May I ask you what the magic number is? People seem to -- I hear $20 a lot. Is there a sort of a number that you're encountering in terms of people being willing to make that purchase decision at the retail level?
Charles M. Swoboda: Well, look. I think -- and remember, we're really focused on the downlight segment. So we're really looking at downlight retrofit. I think in that segment, when the product first came on the market, it was $49.95, and we sold more than either us or our retail partner thought we would. That price has moved down to $39.95 and there's definitely price elasticity. That market gets larger. At $34.95, I think is the most recent pricing that you'd find in that channel, and that market has continued to expand. So I think what we're finding is that depending on the application -- and again our experience has really been in this downlight category -- that there has been a bigger market of price points than what we had expected because I think the consumers probably -- it takes a little while, but the consumers are very practical. They get to the value proposition faster than I think we originally gave them credit for. And so the fact is, is that if people never have to change their downlights again, they get pretty interested after they've done it a couple of times. And so I think what we're learning about the price elasticity in terms of the magic numbers, and if you go beyond the downlight, you'll hear all kinds of speculation about where bulb price is and all that stuff has to go. I think what I'd tell you is, there's obviously already a market today. But clearly, as we shrink that gap, there should be some pretty good price elasticity. And I don't think you have to get -- clearly, you don't have to get to the price of the incandescent bulb because the value proposition is significantly better. But I think as we see the price -- as we see products come down that curve, we should see increased adoption.
Operator: Our next question comes from the line of Aaron Chew with Maxim Group.
Aaron Chew: Why don't you just make some general comments to provide some color on the new distributor program you had introduced for your North American lighting segment last year, last November? Just wondering if you can provide some color or the motive behind the strategy, maybe the positive/negative reactions from customers, and above all, how you can mitigate risk of potentially posing risk to revenue in the back half of calendar '13?
Charles M. Swoboda: Yes, look, I think you're talking about something we call the allied program. This is really just a way to get better awareness within distribution of what Cree is doing and how we can hopefully drive sales of LED lighting. I think it's been a relative -- it's an important program from building relationships, but I'd say the near-term effect has been pretty small. It's much more about getting awareness for what we hope is a much -- a stronger distribution base to grow the business 12 to 18 months out. So I don't think we've seen a lot of significant tangible revenue gains in the short term but hopefully we've raised the awareness at this point. And my goal would be is that it should lead to increased momentum in that channel as we look out 2 and 3 quarters.
Aaron Chew: Okay, that's helpful. And just for my follow up, on the component side of things, with the LED product, I should say, you mentioned there's a delay, I guess, for new products to really hit the income statement, I guess, and customers have to get things certified or whatnot. So wondering, when do you guys, just based on historic trend, expect the new XM-L2 to actually impact revenue? And are you already seeing some of the, I guess it was the GNE [ph] I think you released last year, are you already seeing that revenue or is it too early to benefit from?
Charles M. Swoboda: So -- and the answer is, it takes a while, but it depends on the customer and the application. So the example I would give you is in some customer's applications, a new version of a product fits right into the slot they had before. So if you go to a gen 2 version of XP-E or XP-G in some of those customer situations, that's an upgrade to an existing design. That's relatively fast. There are some qualification depending on the application, but that can be a little faster. When we came out with the SC3 platform, that's a different platform. And so in many cases, the customer has to relay off the board and kind of do some ground-up requalification. Those tend to take a little bit longer. And that's probably the range. So if you think about XM-L2, if someone's already using XM-L, probably a little faster. But if you think about the other product we released, the KR (sic) [MK-R]-- I'll think of it in a second -- the other LED we came out which we just did -- MK-R, that one's probably going to take a little bit longer. And the lag, it varies, right? So someone who's got something that you all certified that wants to meet design lights consortium, they've got a bit of a lag there. Someone who's doing a more consumer grade product or frankly in some of the export markets, they can move a lot faster. So it's a long-winded answer to it varies by customer. If the footprint's the same, it's generally a little bit faster. But there can still be regulatory delays.
Operator: Our next question comes from Andrew Uerkwitz with Oppenheimer & Co.
Andrew Uerkwitz: I think you've answered most of my questions, but just you mentioned to an answer earlier that you thought the supply still outweighed demand on the LED side. Can you kind of give additional color? Do you think that's picking up, getting worse? How do you see the market evolving over the next quarter or 2?
Charles M. Swoboda: Look, I think over the last 18 months, it's obviously probably 18 months ago was probably exacerbated the most where supply got the most ahead. I'd say in the recent quarter or 2, as LED lighting adoption starts to gain, and you could see the increase in lumen sales, I think we're seeing some improvement. But it's still supply ahead of it. So I think if I look out over the next few quarters, what that means to us is a competitive pricing environment. And I don't think that's going to change, at least not in the near term. I think we're moving directionally correct, but it's going to take a while. So the way we're trying to think about the business is, our targets are assuming that it's going to remain pretty competitive at least in the near to midterm.
Andrew Uerkwitz: Just one quick follow-up on that because are -- we view you guys as a technology leader. Do you think as technology is getting better, more lumens per chip or whatnot, do you think -- is that kind of exacerbating the capacity side, meaning that, that's kind of growing capacity naturally?
Charles M. Swoboda: So, yes, we did definitely get some of that. If you look at the amount of lumens we produced out of our factory with very little capital investment over the last year, we've seen a huge increase in the amount of lumens out of our factory, and I think you're going to see a variation of that across the industry. Obviously, some suppliers take a more traditional approach just buying more capacity. Others have probably spent more time on the innovation side. But in general, I think that the whole LED industry -- generally speaking, the industry should expect there's some amount of innovation that will happen in the next year that will take the existing equipment base and get something more out of it. So that's always a bit of a headwind, but if we drive the right level of adoption, hopefully that we can really start to balance it out a little bit better.
Operator: Our next questioner comes from the line of Stephen Chin with UBS.
Mahavir Sanghavi: This is Mahavir for Stephen Chin. Just my first question, Chuck, can you elaborate on your comment in terms of the opportunities to move faster than the market? Can you elaborate on the opportunities? And then also, is there a trade-off in trying to aggressively push sales or you think -- and the gross margin? Or you think the new products should allow you to maintain your gross margin?
Charles M. Swoboda: Look, I guess, what I'm pointing out there is that, while we've had a lot of success growing LED lighting and we've seen increased adoption, it's still a relatively small percentage of the overall market. And we can see with the products we have developed in the last year and the ones that are under development that there is a way to continue to close this gap between the cost of LED lighting and the cost of traditional technology. And so for us, it's push on the innovation engine and try to get those new products out there and close that gap more to really move the market. And in some cases, it's a -- for example, we recently came out with our own version of an MR16 LED lamp. And so why do we do that? That's not really in the mainstream of our commercial strategy, but it was a particular segment that while some people have done MR16s and they were okay for some applications, we didn't see the market providing something that truly was a halogen alternative, at least not in the way we were seeing it in the applications we're talking to. And so it was a chance for us to hopefully push that market a little faster to LED adoption. It doesn't mean people weren't selling a lot of LED MR16s, but at least in the places we were seeing, which were more commercial applications, we thought that there was a product improvement that could push it faster. And so that's what we wanted to go to. As far as the trade-off goes, look, we have 2 goals: Try to make incremental improvement on the product lines, each of the product lines, and drive LED lighting adoption. By definition, there's some trade-off with that, and our goal would be is to find a way to get some incremental progress on one side and more adoption on the other. And if we're biased, we're more biased to adoption than we are on the margin, but honestly we think we can find a way to do some of both.
Mahavir Sanghavi: Just a follow-up, Chuck, can you maybe compare the channel inventory now maybe on a sequential basis, also on a year-over-year basis?
Charles M. Swoboda: Yes, I don't know what it is year-over-year, but I'm assuming you're mostly talking about our LED components business. And we would have exited the December quarter and, Mike, you can correct me if I'm wrong here, but I think we exited with inventory actually declined in the December quarter. So there's less channel inventory in LEDs at the end of December than there was at the end of September, is that right?
Michael E. McDevitt: That's correct.
Operator: And it appears we have time for one final questioner. Our final question will come from the line of Daniel Amir with Lazard Capital Markets.
Daniel L. Amir: I just had a general question, kind of geography-related here. How much of your business in North America is really driven, you think, maybe by just the recovery of the construction market and the pickup that you're seeing in new construction there as it relates to comparison to obviously your new products that you're seeing and the decline in cost of ownership of LEDs? And then the same question is kind of what's the driver of what you're seeing in the China market given that we are not seeing many subsidies in the market where still visibly is limited but still it's a big market for you guys.
Charles M. Swoboda: Yes, so I would say that for the LED lighting business in North America, most of what we see would not be construction driven or new infrastructure. It would be upgrading existing infrastructure and retrofit renovation. And I'd put that all in one big bucket. And so I think what's happening is as LED lighting gets better, then there's an either incentive, there's already existing renovations going on that you can make LED a part of that or you can incentivize someone to consider doing an LED lighting upgrade because the math works. So that's kind of what the driver is there. As far as the China markets goes, for us, China is both an export market and a consumption within China. I think the export markets are following the global trend, which is just as you get better performance, lower cost, new products, you get more adoption and then within China, I'd say that there's some -- definitely starting to see some more indoor activity but still more driven by outdoor than indoor at least for our business at this point.
Operator: And with that, that does conclude our time for questions. I'd like to turn the program back over to Mr. McDevitt for any additional or closing remarks.
Michael E. McDevitt: Thank you for your time today. We appreciate your interest and support, and we look forward to reporting our third quarter results on April 23. Good night.
Charles M. Swoboda: Good night, thank you.
Operator: Thank you. Again, ladies and gentlemen, this does conclude today's conference. Thank you for your participation and have a wonderful day. Attendees, you may log off at this time.